Operator: Good morning. My name is Carol, and I will be your conference operator today. At this time, I would like to welcome everyone to the Huntington Bancshares Second Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I would now like to turn the call over to Mark Muth, Director of Investor Relations.
Mark Muth - Director of Investor Relations: Thank you, Carol, and welcome. I'm Mark Muth, Director of Investor Relations for Huntington. Copies of the slides we'll be reviewing can be found on our IR website at www.huntington-ir.com, or by following the Investor Relations link on www.huntington.com. This call is being recorded and will be available as a rebroadcast, starting about one hour from the close of the call. Our presenters today are Steve Steinour, Chairman, President and CEO; and Mac McCullough, Chief Financial Officer. Dan Neumeyer, our Chief Credit Officer, will also be participating in the Q&A portion of today's call. As noted on slide two, today's discussion, including the Q&A period, will contain forward-looking statements. Such statements are based on information and assumptions available at this time and are subject to changes, risks and uncertainties, which may cause actual results to differ materially. We assume no obligation to update such statements. For a complete discussion of risks and uncertainties, please refer to the slide and materials filed with the SEC, including our most recent forms 10-K, 10-Q and 8-K filings. Let's get started by turning to slide three and an overview of the financials. Mac?
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Thanks, Mark, and thanks, everyone, for joining our call today. We appreciate your interest and support. It's an exciting time for Huntington. We saw continued solid execution in the second quarter of 2016, built on the strong foundation and momentum demonstrated in the first quarter. We believe we have a good story to share with you this morning. We have followed a contrarian path since 2009, focused on building a strong recognizable brand, differentiated product set and industry-leading customer service. While others have pulled back with a focus on cost-cutting, we invested on our franchise, built our Fair Play philosophy and our welcome culture. Second quarter results, again, provide proof that our strategies are working and that we are executing at a high level. Turning to slide three, let's review the financial highlights of our second quarter. Huntington reported earnings per common share of $0.19, inclusive of $0.02 per share of significant items related to the costs associated with the integration of the pending FirstMerit acquisition. Tangible book value per share increased 9% to $7.29. Reported return on tangible common equity was 11%, while reported return on assets was 0.96%. Fundamental trends were in line with our expectations. Compared to the second quarter of 2015, revenue grew by 1% despite an $8 million impact from net MSR activity and the realization of a $5 million gain on the securitization of auto loans in the second quarter of 2015. Net interest income growth of 3% was largely responsible for reported revenue growth. We continue to believe that our ability to deliver consistent top line growth despite the challenging interest rate environment distinguishes Huntington from our peers. Non-interest expense increased $32 million or 6% year-over-year, including $21 million incurred in relation to the integration of our pending acquisition of FirstMerit. Non-interest expense adjusted for the FirstMerit integration expense increased 3% year-over-year. Our reported efficiency ratio for the quarter was 66.1%. However, the FirstMerit integration expense increased the reported efficiency ratio by 260 basis points. While we remain above our long-term efficiency goal of 56% to 59%, improving operating efficiency continues to be the top priority for our management team. We remain confident that productivity improvements from the FirstMerit integration will significantly accelerate our ability to achieve this important financial goal. Balance sheet growth continued to be strong. Average loans grew 8% year-over-year, while average core deposits grew 5%, marking the eighth consecutive quarter of year-over-year core deposit growth being at least 5%. Overall credit performance continues to demonstrate our commitment to an aggregate moderate to low risk profile. Second quarter net charge-offs of 13 basis points remain well below our long-term financial target of 35 basis points to 55 basis points. Non-performing assets decreased 7% linked quarter. Tangible common equity ended the quarter at 7.96%, up 4 basis points year-over-year and 7 basis points linked quarter. And our CET1 ratio trended up 15 basis points year-over-year and 7 basis points quarter-over-quarter. Turning to slide four, and diving in deeper to the income statement, net interest income was up 3% from the year-ago quarter, primarily reflecting strong earning asset growth of 8%, which was partially offset by 14 basis points of net interest margin compression. Non-interest income was down $11 million or 4% from a year ago, impacted by 8 million of net MSR activity and a $5 million gain on the securitization of auto loans in the second quarter of 2015. Reflecting the strength of new household acquisition out of our OCR strategy, service charges on deposit accounts increased 8%, card and payment processing income increased 9%. Trust service revenue in the quarter was impacted by the sale of our funds and fund-servicing businesses, as well as an ongoing shift in the product mix. Non-interest expense increased $32 million or 6% from a year ago, with FirstMerit integration expense accounting for $21 million of the increase. After adjusting for FirstMerit integration expense, non-interest expense increased 3%, primarily driven by salary expense, medical claims, and technology investments. Of note, we continue to see wage inflation, given the relatively low unemployment levels in many of our markets. Turning to slide five, let's look at balance sheet trends. Disciplined and strong loan and lease growth continued in the second quarter, increasing 8% year-over-year. Growth was spread among many portfolios, but commercial banking and auto lending continue to lead the pack. Auto lending increased 26% from the year-ago quarter, as production continued at record levels, while we maintained our long-standing underwriting consistency and discipline. Slides 46 to 49 in the appendix show the underwriting has not changed, and our credit performance remains superior. Our auto portfolio continues to demonstrate industry-leading performance. Our C&I portfolio grew 8%, driven by equipment finance, dealer floor plan and corporate banking. Average securities increased 15%, primarily reflecting reinvestment of portfolio run-off into LCR-compliant securities, and to a lesser extent, growth in direct purchase municipal securities in our Commercial Banking segment. We remain above the 100% threshold for the liquidity coverage ratio. Strong growth in our loan and securities portfolio amounted to an overall 8% increase in our average earning assets from the year-ago quarter. Moving to the right side of the slide, average total deposits increased 5% over the year-ago quarter, including a 5% increase in average core deposits. Demand deposits continue to drive growth, increasing 11% year-over-year, including a 4% increase in non-interest-bearing demand deposits, and a 28% increase in interest-bearing demand deposits. Our focus on new consumer checking, household and commercial relationship account acquisition, as well as relationship deepening continue to drive growth in demand deposits. Average total debt increased $1.7 billion or 23% as a result of the issuance of $3.1 billion in senior debt over the past five quarters, which was partially offset by a $1.1 billion decrease in short-term borrowings. Money market deposits increased by $0.7 billion or 4% from the year-ago quarter, reflecting improved cross-sell and targeted marketing. We also continued remixing our deposit base, moving consumer deposits out of higher cost CDs into other, less expensive deposit products. As a result, average core CDs decreased $0.6 billion or 24% year-over-year. The net interest margin was 3.06% for the second quarter, down 14 basis points from the year-ago quarter. The decrease reflected a 4 basis point decrease in earning asset yield and a 14 basis point increase in funding cost. Loan yields were only down 2 basis points year-over-year, while security yields declined 9 basis points. The increase in funding cost was almost entirely driven by the impact of the debt issuances over the past four quarters, as the cost of deposits only increased 1 basis point year-over-year. On a linked quarter basis, the net interest margin decreased by 5 basis points, driven by a 3 basis point decrease in earning asset yield, and a 4 basis point increase in the cost of interest-bearing liabilities. Recall that last quarter's NIM benefited from approximately 2 basis points of interest recoveries in the commercial real estate portfolio. Though modest further NIM compression is expected to continue given the rate environment, we continue to expect net interest margin at stand-alone Huntington to remain above 3% for the remaining two quarters of 2016. Slide seven provides an update on our asset sensitivity positioning and how we manage interest rate risks. As shown in the chart on top, our modeling for stand-alone Huntington projects that net interest income would benefit by 4.1% if interest rates were to gradually ramp 200 basis points in addition to increases already reflected in the curve – implied forward curve. This is an increase of roughly 50 basis points from a quarter ago as our asset swap book continue to mature. Though we expect additional run-off from our asset swap book in coming quarters, the portfolio is laddered and there are no cliffs moving on the horizon. As shown on the bottom right in a hypothetical scenario without the $4.7 billion of remaining asset swaps, the estimated benefit is projected to be 5.4%, in the up 200 basis point gradual ramp scenario. The chart on the bottom of the slide shows our $4.7 billion asset swap portfolio and $6.8 billion liability swap portfolio, including their respective average remaining lives and their impact on net interest income. The incremental benefit of swaps was $19 million in the 2016 second quarter, down slightly from $21 million in the first quarter and $26 million in the year-ago quarter. 75% of the $19 million in swap benefit in the second quarter was from liability swaps with the remainder coming from asset swaps. Turning to slide eight, we see our capital ratios which increased across the board on both the year-over-year and linked-quarter basis. Tangible common equity as of the quarter is 7.96%, up 4 basis points year-over-year, and 7 basis points linked quarter. During the quarter, we issued an additional $200 million of attractively priced fixed rate preferred equity on top of the $400 million issued late in the first quarter. Referring to slide nine, we booked provision expense of $25 million compared to net charge-offs of $17 million. This modest reserve bill, along with the reduction in NPLs, led to a 151% NAL coverage ratio, as noted in the chart on the right. The ACL as a percentage of loans fell 1 basis point to 1.33% due to portfolio growth. Asset quality metrics were favorable in the quarter as indicated on slide 10. NPA is still in the quarter, as new inflows were down substantially for prior periods. The criticized asset ratio was down modestly, falling 3.5% to 3.44%. New additions to criticized were offset by upgrades and pay downs. Delinquencies were also well-controlled, exhibiting continued reductions. Let me now turn the presentation over to Steve.
Stephen D. Steinour - Chairman, President & Chief Executive Officer: Thanks, Mac. I want to use the next few slides to talk about our industry-leading customer acquisition. Mac mentioned at the beginning of the call that we've taken a contrarian approach for the past several years, focusing on customer acquisition and relationship deepening through our Fair Play banking philosophy. Slide 10 (sic) [Slide 11] shows the fruits of our labor. And as you can see, both consumer and business relationships are up substantially since 2009. Consumer households have experienced an 8% compound annual growth since 2010, while business relationships have experienced 5% compound annual growth over the same time period. We can see the relationship growth flowing through to revenue growth as business revenues have seen 9% compound annual growth since 2009, while consumer revenues are up 5% over the same period. I want to call out particularly strong revenue growth on the consumer side over the last five quarters. We've not always seen the revenue benefit on the consumer side, but we've now overcome the headwind of the latest adjustments under our Fair Play philosophy implemented in the third quarter of 2014. And the investments in data and analytics we began in 2015 are starting to show results. We experienced 10% year-over-year growth in consumer household revenue in the second quarter of 2016, along with 5% linked quarter growth. Now, these are very strong numbers, and we're optimistic we can build on these in coming quarters. It's not just about relationship growth, but indeed, the deepening of our existing relationships. For us, this strategy has remained consistent, since put in place in 2009, and we continue to see progress. The next two slides show how we think about deepening relationships with our customers. As of quarter end, 52% of our consumer checking households use six or more products and services, up from 51% a year ago. On the commercial side, 47% use four of our products – or more of our products and services, up from 43% a year ago. These figures are important, and ones we monitor closely. We believe the revenue growth is result of a deeper understanding and relationship with our customers. The fair banking philosophy starts with doing the right thing for our customers, but that's just the beginning of any single customer relationship. To achieve the full potential on both sides, we have to better understand the individual customer needs and tailor our product, services and experiences to fit those needs. So, we're not just adding new customers, we're making sure we can better serve and foster a mutually beneficial relationship with our total customer base, all of our existing relationships. Moving to the economy. Slide 14 contains what we feel to be some of the more meaningful economic indicators for our footprint. The bottom-left chart illustrates trends in unemployment rates across our six Midwestern states. And as you can see, the majority of our footprint has shown marked improvement in unemployment rates relative to the national average. And Ohio and Michigan, in particular, remain at or near their lowest level since the early-2000s. The chart on top and bottom right show coincident and leading economic indicators for the region. The bottom chart, which shows leading indexes for our footprint as of May shows that five states of the six states in our footprint expect positive economic growth over the next six months. Slide 15 takes a deeper look at the trends in unemployment rates in our largest metropolitan markets. Many of the large MSAs' footprint were near 15-year lows for unemployment rate at the end of May. Ohio, Indiana and Michigan, in particular, continue to outpace overall U.S. growth since the recovery. There's additional cause for optimism here in our home footprint. Per capita disposable personal income growth has outpaced the national average through the recovery, and continued to do so through the second quarter. Housing markets in the footprint and especially here in Ohio have shown to be far more stable than the national average. Affordability in the Midwest is the best in the country. A higher rate in the Midwest continues to be among the highest in the nation, and over 50% of net manufacturing jobs created in the country since the recession are in Ohio, Michigan and Indiana. Three states have over 50% of the net manufacturing increase since the recession. Despite continued market volatility and global macroeconomic uncertainty, we remain confident in the economy in our footprint. Indeed, the average consumer remains confident in our footprint economy as consumer confidence in the Midwest is near the 2002 levels. Now, we recognize the escalation of market and global volatility in recent months and the threat it can pose to business here in our footprint, but effects, so far, had been modest. Turning to slide 16, operating leverage. The first six months through the year was slightly negative, which was consistent with our internal forecast. Recall, this is almost exactly where we were at the end of the second quarter of 2015. We delivered positive operating leverage in 2015, which was our third consecutive year of doing so. And positive operating leverage remains an annual financial goal. So, with that, let's turn to slide 20 (sic) [slide 17] for some closing remarks and important messages. We remain focused on delivering consistent, through the cycle shareholder returns. This strategy entails reducing short-term volatility, achieving top tier performance over the long term and maintaining our aggregate to moderate risk to low risk profile throughout. Our DFAST stress loss estimates continue to reflect comparatively well, and for this year, included FirstMerit loan portfolios. Our value proposition for both consumers and businesses continues to drive industry-leading new customer acquisition. We've successfully built a strong and recognizable consumer brand, with differentiated products and superior customer service. For the third year in a row, we were recognized for leading customer satisfaction by J.D. Power and others. We continue to execute our strategies and refine or react when necessary. We have invested and will continue to invest in our businesses, particularly around enhanced sales management, mobile and digital technologies, data analytics and optimizing our retail distribution network. Importantly, we plan to continue to manage our expenses appropriately within our revenue outlook. We expect to grow revenue. We expect growth within our core Midwest footprint local economies and the businesses and consumers with them. We are prudently managing certain industries or sectors potentially impacted by the market volatility and global macroeconomic uncertainty. However, we believe these risks remain well-contained. We see no evidence of near-term deterioration or problems looming on the horizon. Customer sentiment remains positive. Pressure on our NIM will remain a modest headwind in the near term. We continue to expect the NIM for stand-alone Huntington will remain above 3% for each quarter throughout 2016. We expect to grow revenue despite this pressure, consistent to our 4% to 6% long-term financial goal, excluding significant items, net MSR activity, and the impact of FirstMerit. We will continue to pace ongoing investments in our businesses consistent with our revenue outlook and consistent with our long-term goal of annual positive operating leverage. We continue to monitor our loan portfolio very closely. And given the absolute low level of our credit metrics and recent market and global economic volatility, we do expect some volatility in our credit metrics going forward, and as we stated last quarter, anticipate that loan loss provisions for both ourselves and the broader industry will gradually begin to return to more normalized levels. Let me stress, we do not see any material deterioration on the horizon. We're simply moving off cyclical lows, and we'll gradually move back towards normal for both provisioning and net charge-offs. We expect our net charge-offs for the year will remain below our long-term expected range of 35 basis points to 55 basis points. Next, we always like to include a reminder that there's a high level of alignment between the board, management, our employees, and our shareholders. The board and our colleagues are collectively the sixth largest shareholder of Huntington. We have hold-through-retirement requirements on certain shares and are appropriately focused on driving sustained long-term performance. We're highly focused on our commitment to being good stewards of shareholder capital. Finally, before we move into the Q&A period, I'd like to tell you how pleased we are with the progress we're making with FirstMerit. We recently received sign-off from the Department of Justice for a divestiture that resolves our concentration issue, which was primarily in the Canton, Ohio market. We've identified the branch closures that will occur coincident with the branch conversion in the first quarter of next year. We also continue to make progress in building out the organization for the combined entity. Our systems conversion planning efforts continue to progress, as our IT teams have completed all product mapping and are in the final stage of completing all data mapping. Indeed, we're coding now for the conversion. Finally, we remain confident that the transaction will close in the third quarter of 2016. I'll now turn it back over to Mark, so we can get to your questions. Thank you.
Mark Muth - Director of Investor Relations: Thanks, Steve. Operator, we'll now take questions. We ask that as a courtesy to your peers, each person ask only one question and one related follow-up. And then if that person has additional questions, he or she can add themselves back into the queue. Thank you.
Operator: And your first question today comes from Erika Najarian from Bank of America. Your line is open.
Erika P. Najarian - Bank of America Merrill Lynch: Hi. Good morning.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Good morning, Erica.
Stephen D. Steinour - Chairman, President & Chief Executive Officer: Good morning, Erica.
Erika P. Najarian - Bank of America Merrill Lynch: So, I apologize if you've already addressed it in the prepared remarks. There are a bunch of calls that are happening today. Very much noting that you've reiterated your goal for revenue growth and annual positive operating leverage, and I'm wondering how we should think of that $503 million core run rate as we move into the second half of the year? And also, as we think about core Huntington ex FirstMerit for 2017, I know it's a little too early, but you do have some peers that in the face of lower for even longer did give a little bit more color on how they're thinking about expense management over the medium term. And just wanted to get your thoughts on that.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Yeah. Hi, Erika, it's Mac. So, as you think about the expense base in the second quarter, keep in mind, we're very focused on the FirstMerit integration. We've had a lot of focus, a lot of attention going into that. We're being very disciplined in how we approach the expenditures right now. And I think, that's a good base if you think about core Huntington. As it relates to 2017 and beyond, the focus we have on positive operating leverage, we are going to each planning year, understanding the revenue environment. And in particular, we've been planning, assuming a rate environment that's flat. And we've been building our expense base that allows us to achieve positive operating leverage. So, we're going to continue to take that approach going forward. Also, keep in mind, we've got the cost takeouts from FirstMerit that will start to materialize in 2016 and 2017. And we're highly confident in terms of the cost takeout achievement that we put on the table.
Erika P. Najarian - Bank of America Merrill Lynch: Got it. And just a follow-up question on CCAR, clearly, a lot of ink has been written about your quantitative results. And I'm wondering if you could share any insight in terms of how that process went, and how – the Fed was thinking about the timing of the deal close and whether or not that those results are really just sort of onetime in your mind relative to the timing of when the deal was going to close.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Yes. It's a good question, Erika. And, clearly, we don't have complete insights into what happens inside the black box. And we do think that the process is very different for a company that's going through an acquisition, if that's included in the CCAR results. But let me just point out a few things that could help reconcile the numbers from a capital perspective. So, we knew going into this year's CCAR process that we were below our peer group in terms of CET1, probably to the tune of 120 basis points on average. And that really comes back to the fact that we were pretty aggressive in 2014 and 2015 in returning earnings to shareholders, probably 76% on average across the two years. Also, keep in mind that we did the Macquarie acquisition without issuing any capital. So, that put us in a lower starting point relative to the peers. We also disclosed on announcement of FirstMerit that we had 100 basis point impact to CET1 because of the structure of the transaction, so that impacted as well. And then, finally, we know that as we went through a business combination in a severely adverse scenario inside the CCAR process, that it probably cost us 50 basis points to 70 basis points of CET1. So, when you reconcile all those things and consider everything but the starting position, it really is related to going through the business combination in the CCAR process.
Erika P. Najarian - Bank of America Merrill Lynch: Got it. Thank you.
Operator: And your next question comes from Bob Ramsey with FBR Capital Markets. Your line is open.
Bob H. Ramsey - FBR Capital Markets & Co.: Hey. Good morning, guys.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Good morning, Bob.
Bob H. Ramsey - FBR Capital Markets & Co.: I just wondering if you could touch a little bit on the personnel cost. The adjusted personnel cost number was higher than we were looking for. Was there much in terms of variable comp related to the strong mortgage banking quarter in that number, or what were some of the drivers of the sequential increase in the quarter that, I guess, seasonally usually would be a little bit better?
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Yeah. Bob, there were a few things that impacted that. I think you did see merit increases come into effect in the quarter. We also had some higher comp related to mortgage, as you point out. And then we have higher healthcare costs, which I pointed out in my comments, just some higher medical expense relative to prior years. But those are the primary things that impact that. And I would say, outside of the medical costs, nothing extraordinary.
Bob H. Ramsey - FBR Capital Markets & Co.: Can you quantify the medical and the – maybe the variable mortgage comp?
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: In the scheme of things, I think the medical might have been a couple million dollars. And the mortgage comp side, I don't really have it at my fingertips right now.
Bob H. Ramsey - FBR Capital Markets & Co.: Okay. Okay. Fair enough. And then it was a real strong quarter for mortgage banking. Curious just how the pipeline looks headed into the third quarter, and whether you think this is a level that we repeat in this third quarter possibly?
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Yeah. Pipelines are strong. We're seeing good purchase volume. And, of course, refi is picking up as well. So, really, really good quarter, as you point out. And, in particular, when you think about year-over-year, the $8 million MSR net impact, $6 million gain last year, $2 million loss this year. So, the outlook is good, just given where the pipeline is today.
Bob H. Ramsey - FBR Capital Markets & Co.: Okay. Great. Thank you.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: You bet.
Operator: Your next question comes from Geoffrey Elliott, Autonomous. Your line is open.
Geoffrey Elliott - Autonomous Research LLP: Hello. Good morning. Thank you for taking the questions. Two more CCAR-related questions. The – I guess, a question and a follow-up. But the first is you said in the presentation when you announced the FirstMerit deal that you were suspending the buyback, I think, until the deal closed? And then, no announcement, no buyback, asked for the full CCAR submission. So, why that change? And then, secondly, just wanted to clarify on the 4Q 2016 to Q2 2015, 50% total payout. Do we now just think about that leading from 3Q 2017 to 2Q 2018 up for that shorter period? Thank you.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Yes. Geoff, it's Mac. So, starting with the first question. Clearly, as we went through CCAR this year, the most important outcome for us was getting the FirstMerit deal through the process and getting approval for the deal itself. Of course, we're still waiting for approval, we expect that to happen in the third quarter. But we just thought it best to be a bit cautious and making sure that we got through the process, because we can create so much more value by getting FirstMerit closed early and on time relative to the buyback that we had in for 2016 CCAR process. What I would tell you going forward is that we'll take each year as it comes. Next year is a different process. We expect to be in a different position. Not quite sure what the economic scenarios that the Fed will give to us will look like. So, don't want to comment on what the future looks like. But that's basically our thought process around this year's process.
Geoffrey Elliott - Autonomous Research LLP: And do you expect the deal closing during 3Q?
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: We still expect to get the 3Q closing.
Geoffrey Elliott - Autonomous Research LLP: Thank you.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: You bet.
Operator: Your next question comes from Marty Mosby from Vining Sparks. Your line is open.
Marty Mosby - Vining Sparks IBG LP: Thanks. Mac, you're increasing your asset sensitivity in a time when most of the market is expecting a lot less in rate hikes. You have a lot of banks that are moving the other direction. They've been asset-sensitive throughout, anticipating what the Fed was going to do. Now that they don't have that hope anymore, they're kind of swimming, what I would call, out of the pool of pain and trying to get as much as they can before the yield curve kind of collapses on the back end on them. You're really going in the opposite direction and creating a lot of revenue headwinds when you're looking at about $10 million from the peak of what you were getting out of the swaps. Are you still committed to do this, and do you feel like – what's the behind-the-scenes driving you in this direction?
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Yeah. Thanks, Marty. So, just a few things to think about. So, the asset sensitivity numbers that we published are a 200 basis point gradual increase scenario. If you think about where the rate curve is today and you think about a flat rate environment going forward, over the next 12 months we have maybe 1 basis point or two basis points of margin at risk. So, I'm not totally uncomfortable with that position, plus we've got the FirstMerit closing, integration, and I would say, optimization of the two balance sheets as they come together. So, we have that entire process to work through as well. So, that's the way I'd take a look at it. We feel good about the margin and where it's at today. We still believe that we're above 3% for the remainder of the year in core Huntington. And if you take a look at FirstMerit, excluding any impact from the first accounting adjustments, it's actually additive to the margin. So, that's our perspective, Marty.
Marty Mosby - Vining Sparks IBG LP: When you're looking at issuing the debt, what are you matching that up against on the asset side? So, kind of what is the – is there a balance in securities and trying to not have any more asset sensitivity come from that initiative as well, or are you matching it against shorter-term assets that will increase your asset sensitivity?
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Yeah. It's primarily funding the securities. And that's been a bit of the pressure that we've had on the margin over the past year. Today, we're bringing securities on at probably close to 1.9%. And the next issuance that we – if we issued debt today, we'd probably be in the 210 basis points range, something like that, swap to floating. So, you can see where some of the pressure starts to build from a margin perspective. But having said that, we're at 115% LCR right now. We feel good about where we are from a securities perspective. And really, we're just replacing and also keeping in mind the amount of debt that we need from a rating agency perspective and an FDIC perspective.
Marty Mosby - Vining Sparks IBG LP: Thanks.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: You bet. Take care.
Operator: Your next question comes from Bill Carcache from Nomura. Your line is open.
Bill Carcache - Nomura Securities International, Inc.: Thank you. Good morning.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Hi, Bill.
Bill Carcache - Nomura Securities International, Inc.: You guys have been – Hi. You guys have been spot on in calling for used car prices to continue to hold up, even when others have kind of taken the opposing view, and really just based on the idea that new car payments continue to exceed used car payments by increasingly larger amounts and not everyone can afford a new car payment. And that's been the right view. And as we look at the market now though, it seems like there's increasingly more controversy around whether the Manheim Index can hold up from its current levels. Can you share your updated thoughts on the sustainability of used car prices at these levels, and how important is that to the continued health of the market?
Daniel J. Neumeyer - Senior Executive Vice President & Chief Credit Officer: Sure, Bill. This is Dan. We plan – one, the Manheim scale, as you suggested, it has held up. And we don't expect it to necessarily be sustained at those levels, but even when we look at a worst-case scenario, I think we have a chart in the deck that shows what the Manheim has been over the last 10 or so years, and I think it bottomed out in the 107 range briefly. And we have stressed the portfolio on our end going down to 100, which we don't think is really possible. But even at that level, the impact to us on our portfolio is about 9 basis points of charge-offs. Keep in mind, we have a different customer base than average. So, with our prime – super-prime focus, we managed the probability of the cost. We think that we will – our portfolio will have a much lower incidence than default. And therefore, the impact of the used car value relative to the rest of the market is not as significant. So, we're very comfortable where we stand. And even if the index were to fall, we think we're very well-positioned. Again, we have a differentiated model from what an average would have.
Bill Carcache - Nomura Securities International, Inc.: Understood. Very helpful. Thank you.
Operator: Your next question comes from Ken Zerbe from Morgan Stanley. Your line is open.
Ken Zerbe - Morgan Stanley & Co. LLC: Thank you. Good morning.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Hi. Good morning, Ken.
Ken Zerbe - Morgan Stanley & Co. LLC: Just a quick question. Just in terms of the merger costs. Looks like I probably underestimated them this quarter. But can you just give us an estimate sort of timing of when those might come in from quarter to quarter?
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Ken, so we're still tracking, we said about $420 million when we announced the acquisition. And I would tell you that we've probably realized 75% of that in 2016, is the way I would think about it. It's going to start to tick up from here. We're, obviously, very deep into the integration process. But that's how I would think about it from a timing perspective.
Ken Zerbe - Morgan Stanley & Co. LLC: Yeah. Okay. That does help, actually. And then just a quick question. On the preferred stock dividends, were there any sort of unusual catch? I think it was like $19 million in total this quarter – I wouldn't have thought it would be that high, given what you issued.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Yeah. So, there was a bit of a stub period related to the first quarter payment for the period that it was moved out, about $3 million.
Ken Zerbe - Morgan Stanley & Co. LLC: Got you. So, in an all-in basis next quarter, what should the run rate be for pref?
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: It's going to be 6.25 times the $600 million is the way to think about it. So, about $70 million.
Ken Zerbe - Morgan Stanley & Co. LLC: Perfect. Okay. Thank you.
Howell D. McCullough - Chief Financial Officer & Senior Executive Vice President: Thanks, Ken.
Operator: And there are no further questions in the queue at this time. I will turn the call back to Steve for closing remarks.
Stephen D. Steinour - Chairman, President & Chief Executive Officer: So, thank you. The second quarter built upon a solid foundation we laid in the first quarter. The performance continues to be solid, delivering revenue growth despite challenging headwinds. And our fundamentals remain solid, and we're well-positioned to continue to deliver through the remainder of the year. You've heard me say this before and it remains true. Our strategies are working and our execution remains focused and strong. We expect to continue to gain market share and improved share of wallet. We expect to generate annual revenue growth, consistent with our long-term financial goals and manage our continued investments in our businesses consistent with the revenue environment and our long-term financial goal of positive operating leverage annually. We expect modest growth in our economic footprint and continue the gradual transition to more normalized credit metrics, which will be effectively managed. We've made significant progress in our integration planning for the FirstMerit acquisition, and we look forward to completing the acquisition later this quarter, following receipt of all regulatory approvals and our customary closing conditions. Finally, I want to close by reiterating that our board and its management team are all long-term shareholders. Our top priorities include increasing primary relationships across our business segments, managing risks, reducing volatility and driving solid, consistent, long-term performance. So, thank you for your interest in Huntington. We appreciate you joining us today. Have a great day.
Operator: This concludes today's conference. You may now disconnect.